Operator: Good evening. Thank you for attending today's Owlet Q4 2021 Earnings Call. My name is Tania and I will be your moderator for today's call. [Operator Instructions] I'd now like to pass the conference over to your host, Mike Cavanaugh. Please go ahead. Mike Cavanaugh Good afternoon and thank you for joining us today. Earlier today, Owlet Incorporated released financial results for the quarter ended December 31, 2021 and the full year 2021. The release is currently available on the Company’s website at www.investors.owletcare.com. Kurt Workman, Owlet’s Co-Founder and Chief Executive Officer and Kate Scolnick, Chief Financial Officer will host this afternoon’s call. Before we get started, I would like to remind everyone that certain matters discussed in today’s conference call and/or answers that may be given to questions asked are forward-looking statements that are subject to risks and uncertainties relating to future events and/or the future financial performance of the Company. Actual results could differ materially from those anticipated in these forward looking-statements. The risk factors that may affect results are detailed in the Company’s most recent public filings in the U.S. Securities and Exchange Commission, including its quarterly report for the quarter ended September 30, 2021, and other reports filed with the SEC, which can be found on its website at investors.owletcare.com or on the SEC’s website at www.sec.gov. The information provided in this conference call speaks only as of today’s live call. Owlet disclaims any intention or obligation except as required by law to update or revise any information, financial projections or other forward-looking statements, whether because of new information, future events, or otherwise. Please also note that Owlet will refer to certain non-GAAP financial information on today’s call. You can find reconciliations of the non-GAAP financial measures to most comparable GAAP measures in the Company’s earnings press release, which is also available on the Company’s investor page of its website. I will now turn the call over to Kurt.
Kurt Workman: Thanks Mike. And thank you all for joining us today for our first earnings call of the year. We're excited to share an update on the progress we've made as a business. Our Dream Sock and Dream Duo product offerings are now in the market in the US and we're making great progress on our product roadmap. Additionally, we're seeing continued acceleration and adoption of our products in our international markets, and we're confident in the long term opportunity ahead of us. First a look back at 2021, our team met our revenue goals through the third quarter of 2021, exceeding our full year 2020 revenue in just the first three quarters of 2021. We did experience an unexpected development when at the beginning of the fourth quarter of 2021 Owlet received a warning letter from the FDA alleging that the heart rate and oxygen notifications on the Smart Sock and certain related marketing claims rendered the Smart Sock and medical device requiring pre-market clearance or approval from the FDA. Cooperating with FDA's requests, we halted sales of all Smart Sock products in the US in October of 2021. From there in just about 90 days, we developed and launched a new product while focusing on deepening our retail customer relationships to effectively manage the product transition during the holiday season. The efforts of our team here at Owlet speak to the dedication to our mission of supporting parents in the home, our ability to pivot quickly and the breadth of our technology platform. Over the course of the fourth quarter, we've already accomplished a great deal to get Owlet back on track and deliver our true connected ecosystem for today's parents. We kicked off 2022 by launching the brand new Dream product line in the US on January 5, a major milestone for our team as we continue forward following the FDA letter. This includes the Dream Sock and Dream Duo, which consists of the Dream Sock and Owlet Cam as a bundle. The Dream Duo and Dream Sock monitor babies while they sleep. They help parents understand their little one's sleep and know when to assist their baby for better sleep, empowering parents with information and insights to support better sleep. The Dream Duo is our most intelligent monitoring system yet. Let me characterize the first few weeks of the Dream Sock and Dream Duo launch. On Outlet online January 5 and January 6, were our best non-promotional sales days ever. Additionally, all retailers that previously carried the Dream Sock are now selling the Dream Sock line. Our retail rollout is still in progress, and we are pleased with the initial results, both in terms of demand and customer feedback. We'll report back to our next call on the results as we need some additional time to be thoughtful on the look ahead so we can share the outlook for 2022. Outside of the US, we continue our international product expansion. International revenue grew by over a 100% from 2020 to 2021. Owlet products are now available in 16 countries with additional launches coming in 2022. In Germany, we just received the news that 91 out of a 100 midwives with [indiscernible] and would recommend the Smart Sock. We are excited about recommendations like these as well as continued product adoption around the world. In regards to an update on US regulatory matters, our ongoing conversations with the FDA center around three areas. First ensuring that the Dream products are not intended for use as medical devices, which could make them subject to FDA pre-market clearance or approval. Second, working toward gaining FDA pre-market authorization on the heart rate and oxygen notification features previously in the Smart Sock product line. And finally, similar to the second point, continuing to pursue the development of a prescription only stock for babies who need medical monitoring at home. Medical devices are an important strategic focus and area of investment for Owlet, both domestically and internationally. In regards to an international update, we recently receive our ISO 1345 and MDSAP certificates as we work towards submitting medical device applications for the Smart Sock in the UK, the European Union and Canada. We have a robust product roadmap as well. We plan to launch a new version of the Owlet Cam later this year and are also working to grow our sleepwear product line. In Q4 of 2021, we launched the Outlet Sleeper, a wearable blanket, and in 2022, we plan to expand that sleepwear line. We also continue to work on expanding our sleep ecosystem, including a smart crib. We will share more on a roadmap and continued research and development in future updates. From continuing to grow the Dream product line to building out new parts of the ecosystem and continued international expansion, we are optimistic about the opportunities ahead for outlet. I'll now turn the time over to Kate for a review of the financials from Q4 and the full year 2021.
Kate Scolnick: Thank you and good afternoon, everyone. As Kurt outlined, for the first three quarters of 2021, Owlet demonstrated great momentum towards our operational and financial goals. In the fourth quarter from the receipt of the Warning Letter from FDA, the company chose to halt sales of all Smart Sock products in the US and accept returns from US retailers. As a result, for the fourth quarter and year ended 2021, the company recorded a contra revenue adjustment of $23.2 million for received and anticipated returns on the Owlet Smart Sock and Owlet monitor duo products. Return estimates were developed in partnership with our retailers, and we do not anticipate material return adjustments for Smart Sock in the US in future periods. Q4 product gross billings before promotions and reserves were approximately $11 million, a portion of which included initial shipments of Dream products. We define gross billings as amounts invoiced to customers. It does not include the impact of adjustments such as promotion, discounts and other allowances. The cessation of US Smart Sock and Duo sales and product returns however, resulted in total net negative revenues of $2.5 million for the fourth quarter 2021. Q4 cost of goods sold was $3.5 million including a benefit of $8.2 million related to product returns and gross profit was negative $6 million. Operating expenses for the fourth quarter 2021 were $27.3 million compared to $13.5 million for the same period in 2020. The increase in year over year operating expenses was primarily for planned increases in spending associated with the scaling of the business and higher marketing spend. Operating loss and net loss for the fourth quarter of 2021 were $33.3 million and $24.1 million respectively as compared with $3.4 million operating loss and $5.8 million net loss for the same period in 2020. EBITDA loss for the fourth quarter 2021 was $23.3 million compared to EBITDA loss a $5.2 million for the same period in 2020. Adjusted EBITDA loss for the fourth quarter 2021 was $31.3 million compared to adjusted EBITDA loss of $2.4 million for the same period in 2220. And for our balance sheet, cash and cash equivalence as of December 31, 2021 were approximately $95 million. Related to the product returns in Q4 as of December 31, 2021, the company has recorded at $6.7 million asset within prepaid expenses and other current assets for inventory expected to be received, but not yet returned $1.4 million with an inventory for return inventory received as of December 31, 2021 and $20.1 million for accrued returns for liabilities. Given the company began planning for product return with US retailers late in the fourth quarter, we received little inventory as of yearend and did not begin receiving any product returns in earnest until mid-January early February with unique transportation arrangements and timing for each retailer. We are actively in the process of reworking product inventory, as it is received. To date, we have received a little over half of the expected product returns. To reiterate return estimates were developed in partnership with our retailers, and we do not anticipate material return adjustments in future periods for the Smart Sock in the US. We do expect additional period cost such as rework to be expense as incurred. Some selected full year of 2021 financial highlights include $75.8 million in revenue an increase of $0.4 million from $75.4 million for the full year 2020. The $23.9 million year over year increase during the first nine months of 2021 was substantially offset by net contra revenue in the fourth quarter 2021. Cost of goods sold was $40.8 million, including a benefit of $8.2 million related to product returns in Q4, $35.1 million in gross profit and gross margin of 46.2%. On a year over year basis, margin declined 140 basis points. Primary year over year drivers include approximately 190 basis points due to inflationary headwinds, including increased transportation and material costs over 2020. Approximately 150 basis points of impact was attributable to higher product returns in Q4 2021, partially offset by a benefit of 170 basis points for lower warranty expense. Operating expenses were $90.9 million compared to $42.9 million for the same period in 2020. The increase in year over year operating expenses was for planned increases and spending associated with the scaling of the business, increased marketing spend and expenses related to the merger. Operating loss and net loss for the full year 2021 were $55.8 million and $71.7 million respectively as compared with $7 million operating loss and $10.5 million net loss for the same period in 2020. EBITDA loss for the full year 2021 was $42.7 million compared to EBITDA loss of the $8.2 million for the same period in 2020. Adjusted EBITDA loss for the full year 2021 was $45.2 million compared to adjusted EBITDA loss of $4.6 million for the same period in 2020. Overall, 2021 was a significant year for Owlet. Q4 2021 presented unexpected business and financial challenges. In a short period of time, we've worked hard to ensure we are able to position Owlet for long-term success to support parents around the world with connected nursery technology solutions. Owlet's long-term objectives remain intact and our business goals for 2022 include increasing our connected nursery market penetration, targeting investment and product innovation to expand the lifetime value of our customers and focusing on obtaining marketing authorizations in the US and key global markets were required. As we start off 2022, Q1 is an important transitional product quarter in the US for Owlet. We started shipments of our dream decline in late December for initial selling to our US retailers and our product launch in early January on Owlet online. Quarter to date feedback from retailers and customers has been positive and we are meeting our initial internal expectations in the marketplace. All of our major US retailers have the Dream product line available online and many the Dream product line in their stores. We anticipate all major us retailers will have the Dream product line fully available online and in stores by the end of Q1. Year today, gross billings before promotions and reserves for January and February 2022, are slight than the same time period in 2021. After a very strong international expansion year in 2021, our international business has had a strong start to Q1. We are excited to continue our international growth plans in EMEA with new regions plan to be launched in 2022. In terms of operating expenses, we are continuing to manage variable spend and where possible finding opportunities to mitigate inflationary pressures and we have sufficient liquidity to support our business. In summary, Q1 will be our steps towards building a stronger global business in 2022 and beyond. Because the Dream product one is new, I'm rapidly ramping up across our go to market channels online and in stores over the course of Q1 and Owlet is actively in the process of receiving and reworking product inventory. We are not providing guidance for 2022 financial expectations at this time. We anticipate providing an updated outlook when reporting first quarter 2022 results. Operator, let's open up the call for questions.
Operator: [Operator instructions] The first question is from the line of Charles Rhyee with Cowen. Your line is open.
UnidentifiedAnalyst: Hey guys, this is Gwen on for Charles. Thanks for taking the question. So your directional commentary is just 1Q billing to be slightly higher than the '21 rate, but kind of adjusting for the Contra revenue account, it seems like you already did around $20 million in revenue in 4Q, even with the Smart Sock being only out for a month or so. So how much is the seasonality a factor in the 1Q directional commentary and when you say slightly higher, can you kind of give rough range or magnitude of what that means? Is it low single digits, mid-single digits, anything around that would be really helpful.
Kate Scolnick: Yeah. Thanks your question, Gwen. I think we were just trying to give some really high level directional commentary. We're not providing full guidance but just wanted to give some overall idea of how we're seeing things with the new product in the market just being in there over the next -- over the last few weeks. As we mentioned, most of our channels are open in terms of being online and a number of our retail partners are in the process of getting our product in stores too. So it's not really an apples to apples comparison. And so we're going to wait and update when we're ready to, with a full Q1.
UnidentifiedAnalyst: Got it. Okay. Thank you.
Operator: Thank you. The next question is from the line of Jim Suva with Citigroup. Your line is open.
Jim Suva: Thank you. And I have a few question, but I'll just ask them first one at a time. The first one's probably for Kurt. Kurt in your prepared comments, you mentioned about some accessories or auxiliary items coming out, just so we can get a sense on it. Are these also going to be in the wellness where they'll give feedback to the user or are they just kind of more auxiliary to kind of add on, but it's the Smart Sock and the camera that gives the primary feedback of wellness to the user?
Kurt Workman: Yeah. Good question. Thanks Jim. When we talk about accessories, we're primarily talking about non-smart accessories, for example, our sleepwear line, the new Owlet sleeper that we launched in Q4. We have some other exciting updates to that line coming this year. It's actually a pretty big category for parents and Owlet has some significant innovation that's going to improve on that and it will work with the Smart Sock. So there's some integrations there. We also talked about the Smart Crib that we're working on. So the camera, the Sock and the Smart Crib will all work together with our Dream app in one ecosystem. And that's in development as well.
Jim Suva: Okay. So it sounds like the Smart Crib indeed is smart and we'll give feedback and the other ones are more accessories and kind of non-feedback items. Is that the way to think about it?
Kurt Workman: That's right. Yeah.
Jim Suva: Okay, great. And then a question for Katie probably more of a CFO financial question, I know with the reversal that you had with revenues, does that make it so Q4 sell in of new products was basically you take the minus negative revenues of $2.5 million and then you add in addition to that to $23.2 million, so you get like $25.7 million of adjusted sell in of new products, or because it's such an abnormal quarter, there's more moving parts and more variables like other countries still selling some of the products we shouldn't even rely or even use that as a guidepost.
Kate Scolnick: Yes, it's definitely the latter. So the gross billings numbers that we mentioned, what I would say if I had to characterize it is the first few weeks of the quarter, before we stopped selling in the US the Smart Sock products. It would also be international as well as Cam. And then we also said that we had a bit of Dream product that sold at the very end of Q4, right? So that's the activity that you see in Q4. And then there's a number of adjustments that take place like as you would naturally have in a natural quarter. So I would kind of keep that activity very separate from the adjustment that we made for the Contra revenue, which really more so reflects a lot of the product that the US retailers had already prior to the warning order. So, the better place to, I would say to watch for the contra revenue return is on the balance sheet. So we set on the product returns, where we have some of that material in the prepaid expenses, some of it, got a teeny bit back in inventory and then most of it is in the accrued returns for liabilities. That will be reworking. We're waiting to receive back that inventory. We said to date in Q1, we've received back a little bit over half of that. And so we'll be reworking that, and as that product is sold we'll be incurring a little bit of cost.
Jim Suva: Okay. And then -- okay. Kate, my last question is the billings number, the gross billings numbers that you kind of mentioned in your prepared comments, is that kind of a number that we should kind of rely upon in that's all new product, but I guess I assume it includes sell into the channel and not necessarily sell through the channel and you probably have to rebuild some channel inventory and product on the shelves. Is that the way to think about it, Kate, or is it the billings number is, I should just kind of view that as really sell and sell through.
Kate Scolnick: I would consider it, we define that as what we've invoice the customers. So that's just a very early indication. And it doesn't include any adjustments, promotions, discounts, allowances or any of the sell through data.
Jim Suva: Okay. Would it be a little bit higher than normal? Is it a little bit higher than normal since you kind of have to replenish all the new product on the shelves?
Kate Scolnick: I wouldn't characterize it as either way. We just wanted to give it as a data point.
Jim Suva: Okay. Thanks Kate and Kirk for the details. It's appreciated.
Kurt Workman: Thanks Jim.
Operator: Thank you, Mr. Suva. The next question is from John Babcock with Bank of America. Your line is open.
John Babcock: Hey good evening guys. Just want to quickly follow up on that last question. First of all, is there any way you might be able to provide more directly a kind of revenue figure for the quarter excluding the Contra number? And then also, if you could talk about gross margin where that came out on the products that was sold, you just overall want to get some sense as to, directionally, where the gross margin is headed.
Kate Scolnick: Yeah, thanks John. So the way that the accounting versus that was have to provide a net revenue number, which came out after the gross billings and the adjustments as a negative number. So I can't provide you as a separate exercise to the gross billings. And then in terms of the margin, I also don't have that either because we have the net out all the activity. So given that the revenue was negative, I don't have a gross margin number for you.
John Babcock: Got you. And then on just actually one more kind of clarification question here, just on the international sales, you mentioned over a 100% growth there. Could you be a little bit more specific on that?
Kurt Workman: Chris, you want to comment on that.
Kate Scolnick: Do you mean international percent growth means.
Kurt Workman: Yeah. A little over a 100%. Yeah. Is that like a 110%, 120%, 150%?
Kate Scolnick: We didn't break out overall international sales for the year or for this quarter, just given all the activity that we have gone in Q4 and for the year. But I would say we had really strong momentum going into the end of the year. And, we think that we have very strong momentum going into '22 as well as we continue to expand into other international markets.
John Babcock: Okay. And now just through some kind of well, I was one more kind of semi specific broader question, just did you lose any retailers as part of the FDA's actions or are you still serving all the retailers that you were serving before that announce was made?
Kurt Workman: Yeah, that's a good question. I would call out our team for the great work they to build those customer relationships through a really difficult time. We did not lose any retailers and we did not lose any doors. So we'll be with all of the same retailers in all of the same doors we have with Smart Sock, and the team is working on expanding those doors this year.
John Babcock: Okay. And then on the international expansion, it sounds like overall that's continuing to go pretty well. Could you just talk about the rollout across the different countries that you were adding during the quarter? I thought, I remembered you mentioned, the next countries you're explaining to was Italy, Spain, Belgium, and the Netherland. How is that rollout going and also talk about Latin America, Asia in your press release. If you could just kind of provide a little bit more detail on overall that, that would be helpful.
Kurt Workman: Yeah. It's really a bright spot for the business right now. We're seeing that this global thesis that, parents everywhere need access to this type of information and data is true. The adoption in each of the countries that we've rolled out has been has been surprisingly good. We launched at the beginning part of last year, we launched Nordics. We then moved into Germany, France. We've now been working on opening up Italy, Spain, Belgium, Netherlands, and the Eastern part of Europe. And we're seeing great results. One of the things I shared is that, we got the certificate from the midwife group in Germany. This is the group that reviews kind of all baby products there and gives their stamp of approval. And 91% of midwives that use Owlet recommended the product we're seeing in the UK and Germany and Nordic. The sell through data is very positive. So we're really proud of the results the team has been driving in that area. We just started opening, opening up South America and we're working towards expansion to Asia this year.
John Babcock: Okay. Thanks for that. And then I guess just two other quick questions. Just on the FDA approval of the OTC stock, can you just remind us of kind of the timeline for that? Has that changed at all?
Kurt Workman: Yeah. So getting clearance on that OTC stock is a top priority for Owlet. I think the biggest influence we have on timelines is to make sure that our submission has all the information the FDA wants to see. So that's where our focus is right now always had numerous meetings and phone calls with the agency over the last few months and working to make sure that the submission contains everything that they want. We feel good about the technology that we have and we're not making any assertions on timelines right now because we can't predict the FDA, but we do feel like we're making good progress.
John Babcock: Okay. And then just lastly, just on your products, if you can just kind of talk about the crib, when you expect that to be out in the market and any other kind of commentary on just kind of new products overall.
Kurt Workman: Yeah, I think the Crib and some of the accessories products we're working on are really exciting. We recently had some prototypes in the office of the Crib. It was great to see the response from parents on those prototypes. We've really positive feedback on our consumer surveys and so the products in development right now. We haven't announced a date for it yet, but we do feel like it's going to be a really strong part of the ecosystem, the integrations with the Sock and the camera are going to take parenting to the next level. And they're going to give that hours and hours of sleep to parents. So we're excited about it. We should have more of an update on the next call.
John Babcock: Okay, great. Thank you, Kurt. Thank you, Kate.
Operator: Thank you. Thank you, Mr. Babcock. There are no additional questions waiting at this time. I'll now turn the conference over to Kate for any closing remarks.
Kate Scolnick: Kurt, I'll turn it over to you for any closing moments.
Kurt Workman: I would just kind of reiterate the four big growth areas for Owlet. I'm really proud of the team for launching Dream Sock and Dream Duo. We've always had phenomenal feedback from parents. We know it's making a difference in their lives. 82% of parents report getting less five hours of sleep at night. And so anything we can do to help parents sleep better feel more secure, feel more confident in that parenting journey is what our mission's all about. Having that product back on the market and having the support from the retailers we have is great, great for the business and it's great for families. We're expanding our product ecosystem really excited about the Crib. We're excited about the foundation of sleep. That's going to really glue the ecosystem together and then taking that to the next level with some of the medical clearances and expansion internationally. So really appreciate everybody joining the call today and excited to continue to build the company.
Operator: That concludes the Owlet Q4 2021 earnings call. Thank you for your participation. You may now disconnect your line.